Operator: Good day ladies and gentlemen, and welcome to the DLH First Quarter Earnings Conference Call. My name is Tatiana and I will be the operator for today. At this time, all participants are in listen-only mode. Later we will conduct a question-and-answer session [Operator Instructions]. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. Casey Stegman with Investor Relations. Please proceed, sir.
Casey Stegman: Thank you, Tatiana. And good morning everyone, thank you for joining us on today's conference call. I’m Casey Stegman of Stonegate Capital Partners, Investor Relations Advisor to DLH Holdings Corp. On the call with me today is Zach Parker, President and Chief Executive Officer of DLH; and Kathryn Johnbull, Chief Financial Officer of DLH. Earlier today, the Company posted its earnings release, which outlines the topics that management, intends to discuss today. Should you have missed that release, it can be found on the investor page of DLH's corporate website at www.dlhcorp.com. As a part of today's call, we have provided a slide show presentation that can be accessed on the DLH website. Go to the Investor Relations tab towards the right side of the page and click Presentations under the drop down menu. We are also providing a simultaneous webcast of today's call with a replay available later today on our website. Please note that this conference call may contain Forward-Looking Statements as defined by the Federal Securities Laws. Statements in this call regarding DLH Holding Corp's business, which are not historical facts are forward-looking statements that involve risks and uncertainties. While these statements reflect DLH's current views and outlook, they are subject to factors that could cause its future results to differ materially. These risks and uncertainties are discussed in detail in our documents filed with the SEC, specifically, the most recent reports on Form 10-Q and 10-K. On today's call, we will be referencing both GAAP and non-GAAP financial measures. A reconciliation of our non-GAAP results to our reported GAAP results is included in our earnings release and in the Investor Presentation on DLH's website. All comparisons throughout this call will be on a year-over-year basis unless stated otherwise. With that said, it's my pleasure to turn the call over to Zach Parker, President and Chief Executive Officer of DLH. Zach?
Zachary Parker: Thank you Casey. Good morning welcome and welcome to our shareholders and other interested parties. We appreciate your participation in this conference call and webcast. As Casey indicated, earlier today we posted our first quarter fiscal year 2016 financial results. We are pleased to be off to a very good start to 2016. We achieved a 5.6% revenue growth and a 15.2% gross margin expansion over the prior year quarter. Our sustained positive financial performance has enabled us to strengthen our balance sheet and invest in our strategic growth plan which we previously disclosed would include a possible joint venture or acquisition. While we have no specifics to report today on that, we will keep you updated as circumstances warrant and as we move forward. We believe that we are now well positioned to capitalize on what we foresee to be a growing federal healthcare market with bipartisan support in the years ahead. DHL continues to see the critical need for expanded healthcare solutions within our sector of the federal health market. Just last week, we announced the nomination of Dr. Francis Murphy to our board of directors. Our management team and my fellow directors are excited about what Dr. Murphy adds to our board of directors and to the strategic transformation of DLH. Having served as the principal deputy under secretary for health in VA and having led the inter agency coordination between the VA and health and human services agency makes us particularly well suited for the position and highly aligned with the strategic direction of the company. My compliments to the Chairman, our Chairman Rick Wasserman, and the nomination and governance committee Chairman Mr. Austin Yerks. Just yesterday, the President released his proposed budget for FY’17 which is his last. In it, both Department of Veterans Affairs and health and human services received strong budgetary support, we expect that to continue. The appropriation of fiscal 2016 federal budget was passed of course into law [ph] on December 18, of 2015, representing a bipartisan initiative that sets federal spending through fiscal year ’16 and ’17 and eases the strict caps on spending by providing an additional $80 billion. The law also increases the Pentagon's war fund by $32 billion over the next two years, evenly split between the department of Defense and the State departments. These measures will provide stability and growth in the Federal contracting market, in general. We also look to expand into the adjacent federal markets such as the department of health and human services and the principal federal department which is the principal federal department charge with protecting the health of all Americans and providing essential human services. HHS’s budget authority has continued to grow from $0.96 trillion in fiscal ‘14 to $1.09 trillion for fiscal 2016. According to HHS projections, the federal health expenditures are expected to reach $1.75 trillion by 2014. We believe that our competencies in health and wellness, medical logistics, public health and pharmaceutical services will continue to serve us well in this business climate. We continue to be very proud of our working relationship with our principal customer the Department of Veterans Affairs, whom for over 15 years has been a valued partner in our mail order pharmacy business and support to the additional VA facilities throughout the United States. Given our strong backlog of long term federal contracts, the recurring and core nature of the work in which we do and our history of successful recompletes coupled with some of our new technology enabled performance differentiators we believe the foundation for our business has never been more solid. While we will continue to focus on executing our core business, and growing the company organically, we will also look to pursue opportunities to accelerate our growth through strategic acquisitions. And of course, later this month we will be having our annual meeting of the shareholders and we’ll provide additional color in each of those areas. We remain optimistic about our ability to do both and are looking forward to 2016 to become a transformational year for DLH Holdings. I would now like to turn the call over to our Chief Financial Officer, Kathryn Johnbull, who will provide a more detailed discussion of our financial results after which we will begin our Q&A session. Kathryn?
Kathryn Johnbull: Thank you, Zach and good morning everyone. We are pleased with our earnings and financial position we are reporting to you today. Our first quarter results continue our trend of improving our key metrics as we delivered growth in revenue, gross margin and adjusted EBITDA compared to the prior year quarter. We continue to generate strong operating cash flow ending first quarter 2016 with a net cash position of approximately $6 million. Consistent with our strategic growth plan that we have shared with you often including during our fourth quarter earnings call, we began to leverage our strong cash position to pursue potential business acquisition opportunities. During the quarter ended December 31, we expanded approximately $600,000 in non-operational expenses related to potential business acquisition activities. While this investment has impacted our net income for the quarter, our business base is solid and performing well and we’ve looked to maximize our investment by expanding upon our capabilities in the near and longer term. Detailed financial results for the first quarter ended December 31, versus prior year first quarter are as follows; revenues for the three months ended December 31, 2015 were $16.6 million, an increase of $0.9 million or 5.6% over the prior year quarter. The increase in revenue is due primarily to program management initiatives and expansion on existing contracts. Gross margin for the three months ended December 31, 2015 was approximately $2.9 million, an increase of approximately $0.4 million or 15.2% over the prior year quarter on higher revenue and improved performance on contracts. As a percentage of revenue, first quarter gross margin rate of 17.6% increased by 1.4% over the prior year first quarter. Favorable margin results are due principally to increased contribution from more complex contracts, and effective assignment of staff to deliver strong contract performance, with emphasis on improving productivity through application of our DLH differentiators. We continue to focus on internal measures to control costs and improve our margin. General and administrative expenses primarily relate to functions such as operations overhead, corporate management, legal, finance, accounting, contracts administration, human resources, management information systems, and business development. For the three months ended December 31, 2015, G&A expenses were approximately $2.5 million, an increase of $0.3 million or 11.7% over the prior year quarter. As a percentage of revenue, for the three months ended December 31, G&A expenses were approximately 15.2%, an increase of 0.8% over the prior year quarter. This increase was due principally to managing our increased business volume and investing in business development. Income from operations for the three months ended December 31, 2015, was approximately $0.4 million, an increase of $0.1 million over the prior year quarter. The increase is due to improved gross margin of $0.4 million, partially offset by cash G&A expenses as described in the preceding paragraphs. Other expenses include interest and acquisition expenses. For the first quarter ended December 31, other expense, net was approximately $0.6 million, an increase of $0.5 million over the prior year period. Consistent with our strategic growth plan, this increase is due principally to potential business acquisition activities including advisory services, financial analysis and legal support. For the three months ended December 31, 2015 loss before taxes was approximately $0.2 million, an unfavorable variance of $0.4 million over the prior year first quarter. This loss was principally due to the acquisition expenses mentioned previously partially offset of course by the improvement in income from operations. DHL recorded a $0.1 million cash benefit on the loss before taxes compared to $0.1 million tax expense in the prior year period. So, on a net loss basis, the net loss for the three months ended December 31 was approximately $0.1 million or $0.01 per basic and diluted share compared to net income approximately $0.1 million or $0.01 in the prior year first quarter. The net loss was of course principally due to the acquisition expenses, previously discussed. On a non-GAAP basis, earnings before interest tax depreciation and amortization adjusted for other items for the first quarter ended December 31, 2015 was approximately $0.7 million, an increase of $0.2 million or 31.8% over the prior year first quarter. This increase was due principally to improve gross margins of $0.4 million offset by growth of cash expenses of $0.2 million. Diluted earnings per share on adjusted EBITDA for the first quarter ended December 31, 2015 was $0.07 per share compared to $0.05 per share for prior year first quarter. We use adjusted EBITDA as a supplemental non-GAAP of our performance and we define adjusted EBITDA as net income, of course adjusted for the traditional income interest, taxes, depreciation and amortization. We further adjust to exclude other expenses including acquisition expense which we exclude because they tend to vary significantly based on the timing of proposed transactions and they do not relate to the ongoing business of the business base, ongoing operation of the business base. We further exclude cash equity expense, because it is non – sorry, non-cash equity expense because it does not consume cash. And we believe that those two adjustments allow for better comparability of results from period to period and better understanding of the health of the underlying business operations. So, we’re pleased with our first quarter operating results and we believe we’ve also implemented an operational model that will sustain our progress and allow us to continue to scale as a company grows. That concludes my discussion of the financial statements. And with that, I would now like to turn the call over to our operator to open the call for questions.
Operator: Yes, Ma’am. [Operator Instructions] And you first question comes from the line of Laura Engel with Stonegate Capital Partners. Please proceed.
Laura Engel: Good morning and thanks for the…
Kathryn Johnbull: Hi, Laura.
Laura Engel: Hi. How are you?
Kathryn Johnbull: Fine. Thank you. How you are doing?
Laura Engel: Good. It sounds like you’re off to great start. I wanted to see it first -- I’ve two questions. First, if you could tell us on acquisition expense which you talked a lot about. Does that relate to something specific or these general acquisitions that you’re looking at and if its something specific can you comment maybe on what competency [ph] might be adding, what it might do if its geared toward the specific client extra? So I just kind of what that expense went towards this past quarter?
Zachary Parker: Sure. Welcome to the team. We’ve been talking for sometime about stimulating some deal flow considerations as M&A has now become part of growth game plan and we’ll be adding more color to that, but we did not give specifics, have not refer for nine months or and at the appropriate time we would certainly give any specifics. It is safe to say that at any given time of the course over the last few quarters we’ve had a variety of deals from which we put on the shelf and others have heated up. And they are just generally those that move further along that cycle that Kathryn refers to where we would go outside and retain external services. Last part of that now I’ll let Kathryn add to it. Last part of your question has to do strategically what make sense for us. We talked a fair amount of that. We really believe that adjacent market or something we talked quite a bit about adjacencies along the VA side of course or some of the other sectors that generally have higher composition of health capabilities and core competences. So to that end organizations such as Health and Human Services to some extent FEMA and other agencies within individuals within HHS, which includes Center for Disease Control, CMS etcetera. Certainly adjacent markets with some of our recent within DHA, Defense Health Agency, we’re going to continue to expand and support of our service members and we’ll stay tuned for some announcements there as well. But we really think that expanding within the federal space, expanding with our customer base within the DA while also moving into those sort of adjacent markets really will help our portfolio as well as looking at certain function of capabilities that’s tuck-in. we’ve got some really strong competencies and we’re monitoring an evaluation, things of that nature. We are moving towards developing more tools in the case management systems arena. So, as we look and make buy decisions there companies generally start to take on greater strategic ties with us.
Laura Engel: Okay, great. Well, and I think you covered a lot of my second question which was further market share within your current customers, perhaps any recent wins or I guess additions to your -- I think you’re qualified business opportunity pipeline that you wanted to share with us?
Zachary Parker: Well, I can tell you we’ve just begin work recently that we’re really excited about that supports during a range of examinations, case management support for veterans and army personnel. We’ll talk a little bit more about that in the not too distant future. We’re really excited about that work which is coming to fruition, standing up a real good capability that we’ve been looking forward to and we hope to start seeing some of the benefits of that by next quarter. But we’ll generally announce our major contract wins through these press releases and we’re going to continue to use that as our primary vessel for housing major new contract awards.
Laura Engel: Okay. Well, thank you for…
Zachary Parker: Kathryn, do you like to add to it.
Kathryn Johnbull: I think that’s exactly right. We of course are not in a position to share details on a particular transaction, but as Zach indicated, the engagement external resources is a indication of maturity of the opportunity and those opportunities will continue to evolve from those adjacent markets within the Health and Human services umbrella of complementary agencies that we talked about before. Its really being strategically aligned with our past performance credentials, our capabilities and also tend to be markets on which there is byproduct and strong byproduct and something commitment. So we think that’s right way to align. Those are the right places for us to pursue and acquisitions will fall within that overall strategy.
Laura Engel: Okay. Thank you for taking my questions.
Kathryn Johnbull: Thanks Laura.
Operator: [Operator Instructions] And your next question comes from the line of Richard Greulich with REG Capital Advisors. Please proceed.
Kathryn Johnbull: Hi, Rich.
Richard Greulich: Hi, Zack, hi Kathryn.
Zachary Parker: Good morning, Richard.
Richard Greulich: Have you started to look at expanding your credit availability, your credit line availability larger than what it is currently?
Kathryn Johnbull: Naturally that’s a part of the overall exercise in preparing for acquisition activity.
Richard Greulich: Do you think you’ll be able to expand it above the levels?
Kathryn Johnbull: We certainly do expect to.
Richard Greulich: Okay. Thank you.
Operator: There are no further in the queue at this time.
Zachary Parker: All right. Great. Thank you, Tatiana and I’d like to thank you all again for participating in today’s conference call. If you have any additional questions please feel free to contact either myself or Kathryn. We thank you for your interest and continued support and look forward to speaking with you again in May as we’ll report on our second quarter fiscal year 2016 results. Have a blessed day. Bye for now.
Operator: Ladies and gentlemen that concludes today’s conference. Thank you for participation. You may now disconnect and have a great day.